Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions Fourth Quarter 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to David Nelson, Vice President, Investor Relations and Treasurer at Cognizant. Please go ahead sir.
David Nelson: Thank you operator, and good morning everyone. By now you should have received a copy of the earnings release for the Company's fourth quarter and full-year 2015 results. If you have not, a copy is available on our website, cognizant.com. The speakers we have on today's call are Francisco D'Souza, Chief Executive Officer; Gordon Coburn, President; and Karen McLoughlin, Chief Financial Officer. Before we begin I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risk and uncertainties as described in the Company's earnings release and other filings with the SEC. I would now like to turn the call over to Francisco D'Souza. Please go ahead Francisco.
Francisco D'Souza: Thank you David, and good morning everyone. Thank you for joining us today. I presume you saw our announcement reaffirming our 2015 guidance a few weeks ago. We finished 2015 as we had anticipated. Fourth quarter revenue was $3.23 billion, up 1.4% over last quarter and 17.9% year-over-year. For the full-year 2015, we delivered $12.42 billion of revenue, which represented growth of 21% over 2014. We’re pleased with our performance in 2015 having raised our full-year guidance three times during the year. We expect to deliver revenue within a range of $3.18 billion to $3.24 billion for Q1 of 2016 reflecting some softness in our banking and financial services and healthcare segments as we start the year. For the full-year, we expect to deliver revenue within a range of $13.65 billion to $14.2 billion. This represents full-year growth of 10% to 14% including an approximate one point negative currency impact. You will notice that we have changed the way we provide guidance. Going forward, we will provide a range for both revenue and EPS in our quarterly and full-year projections. We believe this approach provides better visibility to our investors. As we enter 2016, I would now like to spend a few moments to give you some color on the market and demand environment and also the investments we continue to make to stay ahead of the market. As you know there is no doubt that we are in the midst of a disruptive technological shift that's pushing clients to look for initiative ways to adapt their traditional business models and products. It’s clear that our market opportunities are substantial. I’d like to share four observations from having been on the frontlines of the digital transition for the past five years. The first observation from the frontlines of the digital transition is that from a technology standpoint most clients cannot make an immediate clean sheet of paper transition to a digital technology backbone. Clients will typically build a digital architecture on top of their legacy technology and the integration between these two layers is a very critical part of the transformation. Our intimate knowledge of our clients’ legacy combined with our leading-edge digital capabilities really give us an edge here. The second observation from the frontlines of the digital transition is that a new broader set of capabilities is required to help clients to navigate the digital transition. In the digital world consulting must include both strategy consulting and design sensibilities, and end-to-end digital realization requires consulting, design, technology and industry knowledge. Our digital works model is deliberately built to combine strategy, design, technology and business consulting into one tightly integrated model. The third observation from the frontlines of the digital transition is that now more than ever knowledge of our clients industries and processes is critically important. As our clients seek to digitize all aspects of their business, they are reinventing their business models and their processes. Our deep industry knowledge and process expertise enables us to partner with them as they work through the process of transforming their businesses into digital enterprises. And the final observation from the frontlines of the digital transition is that as digital goes mainstream, clients need to partner with global scale and heft to support them. As clients look to rapidly scale they need the best talent at scale available across the globe. Our global footprint and team is a substantial asset in this regard. With these four observations I’d like to now update you on the key areas of investment focus we outlined last year. Building digital capabilities, evolving our IT services, building platform solutions and further investing in consulting that continue to enhance our capabilities. The first we are building capabilities to enable our clients to drive digital transformation at scale. Our digital works approach is solid and showing results. Our focus now is to scale that capability quickly across the world. Let me explain with an example; we recently signed a strategic multi-million dollar engagement with Etihad Airways, United Arab Emirates flag carrier, to define a comprehensive digital transformation strategy. While Etihad Airways is renowned for a world-class experience in the air. They realized that customer experience starts long before the customer arrives at the airport and continues after they land. The Cognizant digital works team and other partners are helping Etihad to envision future customer experience possibilities whether these interactions happen via the web, mobile apps or airport kiosks. As clients like Etihad navigate the challenges involved in becoming digital enterprises, we continue to build out our portfolio of offerings to help them to navigate that shift. Second, we are evolving our IT services capabilities to enable our clients to create next-generation technology infrastructures that are characterized by high levels of operational efficiency at the backend and enhanced by new digital capabilities on the front end. To achieve this goal clients are being challenged to lower total cost of ownership of legacy environments to reinvest these savings into enabling digital transformation or what we have often called the dual mandate. In creating solutions for next-generation IT, we are focused on both sides of the dual mandate. On one side we are bringing in higher levels of automation, integrating our service lines and moving core processes to a managed services environment to improve operational effectiveness. On the other side, we are modernizing legacy systems to create the backbone to help our clients become digital enterprises. Our recent acquisition of KBACE Technologies for example will enhance our capabilities in next-generation IT. KBACE has 400 technology and consulting associates specializing in Oracle Cloud applications. Cloud and SaaS migration is a key component of the solution to the dual mandate. This acquisition will expand our digital and cloud capabilities to help more clients to deploy SaaS applications to lower costs and increase business agility. Our third focus area of investment is building platform based solutions and industry utilities that enable clients to achieve new levels of efficiency. We’ve created a number of sharply focused vertical platform based solutions that we offer to clients in a Business Process as a Service or BPaaS model. These solutions enable clients to turn over entire processes or sub-processes to us to own and operate on an output or outcome-based commercial model. These solutions not only help our client to create variable cost structures, but reduce their time to value by quickly getting clients to best in class benchmark levels of performance. And by embedding analytics in these platforms we are able to bring critical insights and share best practices and industry knowledge across multiple customers. We have a head start here through our acquisition of TriZetto in 2014 as well as having developed a number of our own platforms in core areas such as clinical trials and life sciences that have shown good traction. For example, several quarters back we announced an engagement, which accelerate to develop and build a cloud-based shared investigator platform for global life sciences companies to use in clinical trials. This platform provides a unified point of access on a single platform linking all the critical personnel running clinical trials with major global pharmaceutical companies. This enable standardization, consistency and operational efficiency resulting in lower cost and faster processing of clinical trials. And our fourth investment area is driven by a recognition that we must continue to drive evermore strategic relationships with our clients. Cognizant’s consulting group or CBC is a critical component of this effort. For over 10 years we have built out our consulting practice and have integrated this practice into all parts of our business. We believe that a strong consulting practice is essential to helping clients envision and implement the many transitions facing their businesses. In closing, 2015 was a very significant year for us. We strengthen our position as a leading transformation and partner for our clients. I am happy with our progress and proud of the accomplishments of our teams. I am confident that we will remain the partner of choice for our clients as they transition to the digital economy. With that, let me hand the call over to Gordon to discuss our performance and to Karen to provide more financial details. I will be back later to take your questions. Gordon?
Gordon Coburn: Thank you Francisco. I would like to add some comments on the overall demand environment and provide an update on client budgets. Before moving to our performance across industry segments and geographies during the fourth quarter. Client budgets are complete and the outcome is very much as we expected. As Frank mentioned, we are seeing a soft start to the year end banking and financial services primarily due to macroeconomic concerns and in healthcare on the back of industry consolidation and the payer industry. More broadly clients continue to face a dual mandate within their operations and we expect many of the trends we saw driving demand within our portfolio of services in 2015 to continue over the course of 2016. With that in mind, let me now provide you with additional color on our results across industries, Horizon 2 businesses and geographies. Our Banking and Financial Services segment was up 1.8% sequentially and 16.6% year-over-year, driven primarily by strong performance in insurance. We are seeing an increased interest in managed services deals with both banking and insurance clients, as clients continue to focus on cost optimization and look for ways to increase operational efficiencies. Within banking, we saw a continuation of spending on projects around regulatory and compliance and cyber security, as well as a growing interest in re-architecting infrastructure. As mentioned above, macroeconomic concerns are weighing on our banking practice as we go into the start of this year. Before I move on to Healthcare, let me give you an example of the type of projects we are seeing in our Financial Services segment. For a leading property and casualty insurer, we undertook a multi-phased project of consolidating and transforming their technology and business processes and shifted to a managed services model. The client's legacy environment and existing processes were creating platform instability and inconsistent service levels, resulting in a poor agent and customer experience. By moving to the managed services model combining applications, business processes and other services will reduce operational risk and deliver cost savings through a variable cost structure in addition to transforming our client’s service operations. Our Healthcare segment, which consists of payer, provider, pharmaceutical, biotech, and medical device clients, grew 1.4% sequentially and 23.2% year-over-year driven primarily by continued strength in life sciences. Rising medical costs, consumerization of healthcare and a changing regulatory environment among other things are driving industry consolidation in the payer industry. We are seeing some slowdown in our healthcare practice due to this consolidation, particularly in the early part of this year as reflected in our Q1 guidance. That said, we remain optimistic about the long-term opportunities within the Payer segment and are quite encouraged by the large deal pipeline in this area for 2016. As the healthcare industry shifts from fee-for-service to value-based care models, healthcare organizations are simultaneously looking for new ways to deliver customer centric care while driving operational efficiencies. We are helping many through this transition. A great example of this work is the work we are doing for the Texas Children's Health Plan. They recently leveraged Cognizant Services and the TriZetto Healthcare Process Automation Service to add a new line of business and improve its claims [edit] processes processing times, costs and claims backlog. By automating both technology and business processes, the solution reduced the client’s claim backlog by 65% in the first week of implementation. Moving to our Life Sciences business. We had a strong quarter as drug pipelines and product launches have improved the pharmaceutical and biotech companies. Additionally, we saw continued strong growth among our medical device clients. Within life sciences, we continue to see a trend towards multi-service deals leveraging cloud technologies and platforms as well as strength in advanced data analytics. Our Retail and Manufacturing segment was up 0.7% sequentially and 14.3% year-over-year driven by strength in manufacturing and logistics. As is typical, Q4 is a slow quarter for retail given the lockdown of IT systems during the holiday season. Additionally, there were number of furloughs in the segment at year end. We continue to see clients focus on modernizing their technology environments particularly around supply chain and omni-channel commerce solutions. On the manufacturing side in particular we saw demand around product transformation as well. Our investments in digital capabilities for the manufacturing segment were recently recognized in a report by ALM Intelligence formally Kennedy Research and Advisory. We were recognized for a robust and comprehensive IoT consulting portfolio as well as our expertise in sensors and devices and our ability to design wide-ranging IoT solutions by collaborating from early phase roadmap development through testing, prototyping and deployment of solutions at scale. Our other segment, which includes high-tech, communications and information, media and entertainment clients was up 1.3% sequentially and 15.3% year-over-year. Within the telecom and IME industries, we are seeing demand driven by the need to upgrade and change business support systems to better support digital solutions. For example, one of our clients a global satellite networking communications provider has grown through both acquisitions and organic expansion of service offerings. In the process, they ended up with a complex legacy business support systems structure comprised of multiple order and building solutions. This complexity was hampering their ability to create bundled services and introduce new services. Cognizant was selected to design and implement an integrated business support system solution. This integrated solution will help our clients go to market with a new set of digital open solutions, showcase products and their partners more readily and lower overall cost of ownership. Now let me turn to our Horizon 2 service lines. Cognizant Business Consulting, Cognizant Infrastructure Services and Cognizant Business Process Services. Our Horizon 2 services have reached critical mass and have significantly increased our addressable market. We’re pleased with the continued above average growth that each of our Horizon 2 service lines achieved in 2015. Cognizant Infrastructure Services continues to see strong growth, primarily in solutions that drive simplification, predictable operations and accelerate delivery. The integration between clients’ legacy technology foundation and new digital architecture is a key driver of demand for our infrastructure services. Increasingly there is a strong emphasis on automation and IT operations driving business agility through deploying cloud solutions. Cognizant Infrastructure Services plays a key role in helping clients incorporate a cloud-centric architecture as one part of the strong foundation. As the lines between physical and digital assets continue to blur, it will affect the way people, business services, data, machines and devices interact with each other leading to a significant redesign of business processes. Cognizant Business Process services is at the forefront of this process redesign, infusing technology and automation a core business processes to help clients achieve greater levels of operational efficiencies while enhancing business outcomes through data analytics. As Frank mentioned earlier Cognizant Business Consulting continues to be a critical competitive differentiator for us. Our consulting practice is increasingly working with all parts of our business as clients embark on enterprise-wide transformation. From a geographic standpoint North America grew nine-tenths of a percent sequentially and 18.7% year-over-year. Europe was up 2.3% sequentially after a 1.7% negative currency impact and 9.6% from last year. The UK grew approximately 2% sequentially and 9.8% year-over-year and Continental Europe grew 2.8% sequentially and 9.5% over prior year. Finally, we saw a continued strong traction in the rest of the world, which was up by 6.8% sequentially and 34% year-over-year. Growth was driven primarily by strength in key markets such as India, Singapore and the Middle East, where we are seeing good traction with clients adoption of digital technologies. For example, for the Aditya Birla Group, one of India's largest conglomerates, Cognizant serves as the e-commerce partner and helps implement their new fashion e-commerce platform to deliver a differentiate shopping experience for customers. Finally, let me provide some color on our business operations. Coming into 2015 we were focused on retraining existing employees and hiring new associates to meet the changing demand environment. As a result, our utilization rate dropped. Throughout 2015, we leveraged that training and brought utilization back up to what we believe as a sustainable level. Our Q4 annualized attrition of 19% still remained above our desired range. We are committed to improving our retention levels and have put in place various employee engagement initiatives in 2015. This remains an area of focus for us as we go into 2016. We believe that developing a culture which embraces shared success and supports continuous skills improvement is critical to recruiting and retaining the best talent driving our continued success and winning in the digital era. However, increased employee engagement must be combined with a continued focus on operational excellence. In 2015, we have put in place a structure to improve our operating discipline and we will continue to strengthen and raise the bar for operating excellence in 2016. The tremendous efforts of our employees over the course of 2015 should deliver both strong revenue performance as well as improved operational efficiencies enabled us to increase our 2015 bonus accruals to levels well above the prior year. Additionally, I’d like to take this opportunity to thank our employees, business partners, government agencies and others involved in the Chennai recovery efforts that helped quickly bringing our business operations back to normal following the unprecedented flooding in Chennai in the fourth quarter. As we enter 2016, I believe that we are well-positioned to capture the evolving opportunities. Although the year is off to a slow start, we believe our investments in expanded capabilities and markets combined with operational excellence and an engaged and empowered workforce position us well to achieve our goals in 2016. With that, I’ll turn the call over to Karen to review our financial results.
Karen McLoughlin: Thank you, Gordon, and good morning, everyone. Fourth quarter revenue of $3.23 billion met our guidance and represented growth of 1.4% sequentially and 17.9% year-over-year. We had a negative currency headwind which impacted sequential revenue growth by $11 million or 36 basis points, and year-over-year revenue growth by a 188 basis points or $52 million. Non-GAAP operating margin, which excludes stock-based compensation expense and acquisition-related expenses was 19.6% within our target range of 19% to 20%. Non-GAAP EPS of $0.80 exceeded guidance by $0.03. For the full-year 2015 revenue of $12.42 billion represented growth of 21% year-over-year including a negative currency impact of 258 basis points. Non-GAAP operating margin was 19.7% and non-GAAP EPS was $3.07. Consulting and technology services and outsourcing services represented 58.2% and 41.8% of revenue respectfully for the quarter. Consulting and technology services increased 1.5% sequentially and 26.6% year-over-year. Outsourcing services increased 1.3% sequentially and grew 7.6% from Q4 a year ago. During Q4, we saw a continuation of the trend we have seen in recent quarters whereby clients are shifting spend from legacy application maintenance towards project-based work including digital and other transformational program. During the fourth quarter 37% of our revenue came from fixed price contracts and as expected overall pricing was stable. We added eight strategic customers in the quarter, defined as clients that have the potential to generate at least $5 million to $50 million or more in annual revenue bringing our total number of strategic clients to 300. During the quarter we had 2,400 net employee additions and we ended the quarter with approximately 221,700 employees globally. Approximately 207,600 of our employees were service delivery staff. Utilization was essentially flat compared to the third quarter. Offshore utilization was approximately 76%, offshore utilization excluding recent college graduates who are in our training program was approximately 81% and onsite utilization was approximately 93% during the quarter. Our balance sheet remains very healthy. We finished the quarter with just over $4.9 billion of cash and short-term investments up by approximately $900 million from the quarter ending September 30 including $350 million in proceeds from our revolver. Our cash and short-term investments net of debt were up approximately $1.5 billion from the year ago period. Total receivables were $2.6 billion at the end of the quarter and we finished the quarter with the DSO including unbilled receivables of 70.3 days, this is down slightly from 70.6 days in Q3. The unbilled portion of our receivables balance was $369 million down from $421 million at the end of Q3. We build approximately 58% of the Q4 unbilled balance in January. The decrease in unbilled receivables was primarily due to the timing of certain milestone deliverables. Our outstanding debt balance was approximately $1.3 billion at the end of the quarter which included $350 million outstanding balance on our revolver. Turning to cash flow. Operating activities generated approximately $690 million, financing activities generated approximately $307 million and capital expenditures were approximately $74 million during the quarter. During the fourth quarter, we repurchased 650,000 shares for a total cost of $42.1 million and our fully diluted share count decreased to 612.6 million shares for the quarter. To date, we have repurchased approximately 41.2 million shares for a total cost of approximately $1.6 billion under our stock repurchase authorization of $2 billion. We have $438 million remaining unutilized. I would now like to comment on our outlook for Q1 and the full-year. For the full-year 2016, we expect revenue to be in the range of $13.65 billion to $14.2 billion, which represents growth of 10% to 14%. Our guidance is based on the current exchange rates at the time of which we are providing the guidance and does not forecast for potential currency fluctuations over the course of the year. For the first quarter of 2016 we expect to deliver revenue in the range of $3.18 billion to $3.24 billion. During the first quarter and for the full-year we expect to operate within our target non-GAAP operating margin range of 19% to 20%. For the first quarter we expect to deliver non-GAAP EPS in the range of $0.78 to $0.80. Our non-GAAP EPS guidance excludes net non-operating foreign currency exchange gains and losses, stock-based compensation, and acquisition related expenses and amortization. This guidance anticipates a share count of approximately 612.6 million shares and a tax rate of approximately 26.6%. We expect to deliver non-GAAP EPS in the range of $3.32 to $3.44 for the full-year. This guidance anticipates the full-year share count of approximately 612.6 million shares and a tax rate of approximately 26.6%. Now, we would like to open the call for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Tien-tsin Huang with JPMorgan. Please proceed with your question.
Tien-tsin Huang: Great. Good morning. A strong 2015. I'll ask on the first quarter, the slow start in banking and healthcare, how broad-based was that across your client base? And what gives you confidence that growth will improve beyond the first quarter? What assumptions are you baking into your guidance for banking and healthcare?
Francisco D'Souza: Hey Tien-tsin, it’s Frank. Let me take a crack at that and then Gordon can jump in if there is additional color. I think in – let me start with healthcare, I think the situation in healthcare we’ve talked to you about it in past calls as you know the payer industry is going through a period of some consolidation at the moment and that is creating some pause with some of our larger payer clients as they differ plans to – technology plans until their merger plans are clear because systems will have to be consolidated some will have to be retired and so on and so forth so there is a period of uncertainty. Having said that, in healthcare we feel very, very good about the pipeline of deals that we have for 2016 of large deals, many of these deals are on the back of the TriZetto acquisition that we did a little over a year ago. And so in the net I feel like healthcare will have a slow start to the year, but with a very strong pipeline in the back half of the year kicking in. I think financial services a little different as you know they have been in the last couple of months a lot of macroeconomic concerns around the world. I think as a result of that financial services particularly banking more than insurance, but our banking clients are taking a cautious approach at this point, putting some projects on hold. Just I think adopting a little bit of wait and see attitude I think that will – I don't have a good view as to when that resolves itself I think we are going to watch that over the next quarter or two and see how it unfolds. And so we are not baking – we are baking some growth in financial services into our view going forward, but I think our view in financial services right now is sort of more of a wait and see approach. Gordon, is there anything you want to add to that?
Gordon Coburn: I think you hit that well, but let me reinforce, healthcare is healthy. Obviously there is a short-term issue with some of the mergers going on, but we are clearly seeing traction for the end-to-end solutions of the combination of the TriZetto platform and Cognizant services and infrastructure BPO. So we feel very good about where healthcares can go as through the latter half of 2016 and going into 2017.
Tien-tsin Huang: Great. Just a quick follow-up if I don’t mind are just on the margin outlook for the year anything unusual you need to consider for 2016 on EPS or an operating margin? Thanks.
Karen McLoughlin: Tien-tsin, it’s Karen. No as usual our guidance assumes that will be right in the 19% to 20% range and usually we start the year that’s generally towards the middle of that range so.
Francisco D'Souza: Tien-tsin, remember we brought our utilization up significantly throughout 2015, so going into 2016 we have the benefit of that, which allows us to handle wage inflation and also make the investments that we need to long-term in the business into digital into healthcare. So we feel good on the margins side.
Tien-tsin Huang: Understood. Thank you so much.
Operator: Our next question comes from the line of Jim Schneider with Goldman Sachs. Please proceed with your question.
James Schneider: Good morning. Thanks for taking my question. I was wondering if you could maybe give us a little bit more color on how you planned the guidance relative to the Healthcare segment. With additional potential M&A closing later on this year, how much did you de-rate that forecast for those customers that could potentially close mergers later in the year? And then maybe can you also address to what extent you discounted the pipeline of the new deals you mentioned in the back half of the year?
Gordon Coburn: Sure Jim. It’s Gordon. So in terms of the mergers, we know which mergers are planned for later in the year and the de-risking is around those all for both the buyers and the sellers of those two acquisitions or our customers. So we’ve already seen slowdown in the first quarter because of that, so we've taken a conservative stance on that for the year. When I look at the pipeline of larger deals, there are several larger deals in the healthcare space that we feel quite good and that’s why obviously there is a range in our guidance. You never want to count on those deals closing, but if they do certainly they can be quite beneficial to us. But that would be more towards the latter half of the year.
James Schneider: Thanks. That's helpful. And then maybe as a follow-up, regarding M&A, now it's been a little over a year since you closed TriZetto. So at this point can you maybe opine a little bit on the kind of experience you've had in closing a scale acquisition like this, and comment on your appetite for doing another potential larger acquisition over the next year or two?
Francisco D'Souza: It’s Frank. Let me try to address that. Look I think we’ve been more than pleased with the results of the TriZetto acquisition. As you said it’s been a little over a year, the hypothesis was that acquiring intellectual property in the form of a platform would allow us to combine that software with our traditional IT and BPO services and create solutions and bundles of solutions for clients that neither company would independently have been able to provide in the marketplace. I think that hypothesis is proving out to be exactly on point. A number of the large deals that we mentioned a minute ago that are in the healthcare pipeline as Gordon said are combined if you will Cognizant with TriZetto capabilities together. And so we feel very good about the integration of how it’s happened both from an impact in the market standpoint, but also from an internal Cognizant operational standpoint. We’ve retained the TriZetto leadership team, all of the TriZetto leaders are playing an important roles within Cognizant and we feel very good about both the operational and the market impact results of the TriZetto acquisition. As we look forward, we’ve continued to say that our primary acquisition focus will be to look at small tuck-in acquisitions. We announced KBACE a few weeks ago. We will continue to look for acquisitions of that nature in the areas that we’ve talked to you about in the past like digital, like geographic expansion, like deepening our industry domain expertise. But as is always, as we’ve said in the past, if an opportunity – a scale opportunity presents itself like TriZetto did, we won't hesitate to look at it as it makes strategic sense for the business.
James Schneider: That’s helpful. Thanks so much.
Operator: [Operator Instructions] Our next question will come from the line of Bryan Keane with Deutsche Bank. Please proceed with your question.
Bryan Keane: Hi, guys. Let me take a crack at the revenue guidance in a different fashion, looking at the full year. I guess what gets Cognizant to the high end of the range versus the low end of the range, because I know the range is kind of new for you guys? Anything in there besides variability in healthcare, which I think you've outlined?
Gordon Coburn: I think certainly the variability in healthcare specifically around some of the large deals that are well into the pipeline is the biggest factor, but also we put conservatism in for the financial services. If financial services plays out better than our view that would certainly provide upside. But given the volatility in macroeconomic environment right now we thought it’s prudent to be conservative.
Bryan Keane: Okay. I'll turn the line over. Let me just ask quickly on headcount. If you look at the headcount growth it hasn't really been growing as much as historical past. How do we think about that going forward? Thanks so much.
Gordon Coburn: Sure. Bryan, we’ve now got them back up to what we believe is the sustainable utilization level. So generally headcount and revenue should be growing more in line, obviously that won’t be quarter-to-quarter because of the timing of college kids coming in, but when you look at it sort of on a longer-term basis for the year they should grow roughly in line.
Operator: Our next question comes from the line of Darrin Peller with Barclays. Please proceed with your question.
Darrin Peller: Thanks, guys. I just want to ask you again just to remind us the impact from Chennai on the quarter and if there's any carry over from that into the first quarter. And then just a little bit more clarity on what's happening in the competitive environment around pricing. I know that had come up on some of the legacy businesses that some competitors have, how you are seeing that now going forward through the year. Just from an overall competitive landscape maybe you could give us some color. Thanks, guys.
Gordon Coburn: Sure. Obviously the floods in Chennai were a tragic event. We’re one of the larger employers in Chennai. We are very supportive of both our employees and recovery in the city. And that recovery has gone well so far. The good news is our BCP plans worked. They worked really well. We were able to mitigate the financial impacts. There were some, but given the size of the Company overall we then view it as material. There is a little bit of timing on recruiting and we lost a week or two there, but that’s all noise and realm of things. So overall, I would say the impact in Q4 was small and there is really no lingering effect on it. Let me ask Karen to comment on pricing.
Karen McLoughlin: Sure. So Darrin I think as I talked about in my script, right for us pricing in the quarter was stable as we expected it to be I think we talked obviously back in Q3 about where we were seeing some competitors get very aggressive on pricing and I think we continue to believe that as a result of the bifurcation that we are starting to see in the marketplace where some competitors are doing very well and, like ourselves, have really built out their consulting and digital capabilities, which is the demand that we’re seeing in the marketplace right now, versus others who just haven’t been able to do that. So I would expect that that will continue, but certainly we haven’t seen any impact for us in the quarter.
Francisco D'Souza: I would just add to that Darrin very quickly that while we do see that what increasingly what we are starting to see in the marketplaces that our clients are beginning to understand that the value of the integration between the legacy and the new digital world. And so they see the value of a player like us that can not only manage their legacy for greater efficiency and effectiveness, but then add-on top of that digital. And so that value – we are selling that value very actively and aggressively in the marketplace and because we have very strong leading-edge digital capabilities, it allows us to some extent to explain to clients why the combination of the two are so strong and offset pricing pressure that we may see just purely from what I think of a somewhat irrational pricing on the – just purely on the legacy side.
Operator: Our next question comes from the line of Sara Gubins with Bank of America Merrill Lynch. Please proceed with your question.
Sara Gubins: Hi. Thanks. Two quick ones. In financial services, could you give us any more color on what kinds of projects are being put on hold and how easy it would be to turn those back on? And then within the margin expectation, is automation much of a factor in helping support the margins?
Francisco D'Souza: It’s Frank. Sara, let me – on financial services I think largely it's as you would imagine it’s the discretionary more development oriented stuff that tends to kick off at the early part of the year as budget get approved. And so in general, I think that stuff that can turn on relatively quickly again, obviously what’s not getting deferred is the lights-on maintenance, keep the systems running, regulatory compliance those kinds of things obviously will continue and are continuing. But there's a fair amount of discretionary stuff that kicks off early part of the year and I think that's some of that is what we are seeing being deferred a little bit.
Francisco D'Souza: And Sara, on automation, artificial intelligence, robotics, think about more as its evolution rather than a revolution. So absolutely we are bringing those technologies into our practices particularly into business process services, infrastructure services, testing. Does it dramatically move the needle in one-year? No, it does not. But we think over the coming years it's going to become increasingly important, we’re making significant investments to make sure that we’re a leader in that area and we remain highly competitive and differentiated.
Operator: Our next question comes from the line of Lisa Ellis with Bernstein. Please proceed with your question.
Lisa Ellis: Hey, good morning, guys. Can you drill down a little bit on the attrition initiatives that you mentioned? I know attrition down ticked just slightly quarter-on-quarter, but it still remains elevated. And then just as my follow-up, any comments on the immigration reform that you're seeing now that we're fully on into the election year?
Francisco D'Souza: Sure, Lisa. So attrition is running a bit higher than we would like. When we parse why, a lot of it has to do with, we did a really good job retrain our people into digital technologies last year, so we’ve become a target. That said, given our growth rates are materially higher than the industry even for we believe for 2016. We should be able to provide the best career opportunities so there’s a bunch of stuff we are doing. A key component of it is we refer to as the Cognizant Career Architecture that’s where we are giving tremendous clarity on what are the different roles we have, what does it take to move into those different roles. So people can self manage their careers, so we remain very much a meritocracy and the best and the brightest can move up faster Cognizant than their alternatives. On compensation, as I said in my prepared remarks, we are strong believers in sharing the success with our employees. Our bonus accrual for 2015 was well above what it was for the prior year and we’re a believer in empowerment. Over and over again when people join us they say, wow, it’s just so invigorating, so exciting the freedom and the autonomy that I get at Cognizant. So when you combine all of those I think we’ll be in good shape, obviously we have the headwind of our BPS businesses growing faster than company average and by definition BPS has a bit higher attrition, but I think it's headed back towards the levels that we want. And Gordon, you want to comment on…
Gordon Coburn: Immigration…
Francisco D'Souza: On immigration. Obviously in the budget bill, the fees for H1B Visas went up, yes it cost us some money, but in the realm of things it’s not material for us. So we expect to be able to handle that within the current margin. We’re always conscious of what’s happening in immigration. Cognizant is a leader in immigration compliance. We feel very good about our structure. We have independent audits on a voluntary basis all the time. We've separated compliance from the actual immigration transactions so we feel good about that. At the same time, we are working hard to hire more and more Americans which we further expanded our college recruiting program, we further expanded our U.S. MBA recruiting, we’re investing heavily in STEM education, which is obviously a longer-term solution, but clearly we have to watch immigration during the political cycle, but we certainly feel good that we're playing by both the letter and spirit of the law and we are making efforts to hire more locals. One of the things we’re very excited about it is our veterans program, we’ve hired several hundred veterans over the recent past and we’ve actually just further strengthened the hiring of veterans as some of the leaders in the company have come out of the military, they've taken the leadership on this program so I think that's going to yield good results as well.
Operator: Our next question comes from the line of Brian Essex with Morgan Stanley. Please proceed with your question.
Brian Essex: Good morning and thank you for taking the question. I was wondering if you could give us a little bit more color on the competitive front, particularly with regard to digital. And the question I have there is, are you seeing the same competitors in the digital or consulting and SMAC environment as you have been in the past? And how might the competition or those vendors that you're competing with change as your revenue mix migrates a little bit more further towards digital?
Francisco D'Souza: I think – Brian it’s a good question actually and I'll try to answer it as succinctly as possible, but it's a very dynamic space frankly. I think the best analogy to draw here is sort of the analogy that we saw during the dotcom transition. What we're seeing is that as I said in my prepared remarks that digital is not just a technology issue right it is – to really do digital well you need to combine design talent with consulting talent with technology talent with consulting and strategy talent and of course you need to bring the client's perspective into all of this. And so you need first of all a very, very diverse set of skills and capabilities. And so when we think about, when we look at competition originally I would say maybe a couple of years ago we would see a lot of smaller boutique type of firms that focused more on the design elements and what I think over the front end of digital. But I think it's now migrating because clients are looking to deploy digital at global scale and integrate with their legacy applications. And so the firms that we see competing most against are the large firms that have an integrated set of capabilities where they can bring all of those capabilities together. Is not that many firms in the world that can bring design, consulting, technology, industry knowledge, process expertise at global scale together. I would say there is a small handful of two or three firms and those are the ones that we tend to compete with most often.
Brian Essex: Great. Maybe if I can sneak in one follow-up. In terms of the BFS exposure that you've had and the variability in some of the budgets, have those been in recent conversations based on maybe the last past few weeks to a month of market volatility? Or were these primarily concerns that they had going into the year that maybe conversations with them led you into a little bit more of a cautious stance as you developed your guidance?
Francisco D'Souza: It’s been a relatively recent phenomenon in the last month or so as volatility has been quite substantial in the market. I think we saw this sort of mid-December through really now mid-January, end of January those are that sort of the timeframe in which we’ve had these conversations which led us to say we would probably should take a little bit more cautious approach until we get a clear sense of what’s going to happen in financial services.
Operator: Our next question comes from the line of Joseph Foresi with Cantor Fitzgerald. Please proceed with your question.
Joseph Foresi: Hi. I was wondering, the Cognizant has typically tried to grow faster than the industry – or has grown faster than industry, I should say. At the lower end of your range it seems like you are more in line, so I just wanted to get an update on your thoughts on that side. And then maybe you could just talk a little bit about why the change in methodology on the guidance side. Is the business getting harder to predict? Thanks.
Francisco D'Souza: Sure. So Joe, I think our expectation is that we continue to grow faster than industry. Obviously the question is where does the industry land for 2016 and certainly others in the industry I think will probably have some of the same outcomes in financial services that we do. What they give for guidance probably differs by company. So I think we feel comfortable with our strategy of delivering growth above the industry average. Joe I apologize, what was the second half of the question?
Joseph Foresi: Can you give me a bracket around revenue? Is the business getting harder to predict now that you are kind of moving more into digital and different types of projects?
Francisco D'Souza: I don’t know if I call harder to predict, but if you think about the methodology we used to use and obviously we’re somewhat unique in that. We are clear on what the downside was, but not the limit to the upside and as we get bigger, I think we all felt it was more appropriate to give investors sort of both an understanding what the boundaries were both on the downside and the upside.
Operator: Our next question comes from the line of Lou Miscioscia with CLSA. Please proceed with your question.
Louis Miscioscia: Sure. Sort of on that same note, I realize everybody's mix is different but a lot of the other names out there are still suggesting growth quarter to quarter. Obviously you're suggesting down about 120 basis points. Maybe if you could just go into a little bit more detail why the competitors seem to be having a much better March quarter, quarter to quarter. Is it the UK calendar or is there anything else that you could can point to? And then I have just one quick follow-up?
Gordon Coburn: I think it’s very simple, our leadership in healthcare. Obviously it's a great position to have, but in Q1 it’s hurting us. There are a bunch of acquisitions going on out there. So I think probably the big difference between us and others is our exposure and work with leading healthcare companies. The currency remember our full-year guidance there is about 100 basis points headwind on currency, but obviously that’s something everyone else has as well.
Operator: Our next question comes from the line of Keith Bachman with Bank of Montreal. Please proceed with your question.
Keith Bachman: Hi. Thank you. I also wanted to return to M&A, if I could. It's been well reported or at least rumored by a lot of periodicals that Cognizant has been in discussion along with TCS around potentially buying Perot. While I won't ask you specifically about Perot. I would like to try to understand philosophically would Cognizant entertain buying what I would consider to be a legacy company, which I don't think has a growth portfolio, it seems more like financial engineering, rather than buying what seems to be a very nice acquisition in KBACE. So I'm trying to understand the thought process, the philosophy around the M&A. Is it more targeted towards growth, which has been the history of Cognizant, and, indeed, other leaders like Accenture over the past couple of years, or is it about, again, what I would consider to be, seems more like, a financial engineering exercise?
Francisco D'Souza: It’s Frank. I would say that we are at a position in the evolution of the company where we continue to look for acquisitions that will create key areas of distinction for the company. An acquisition like KBACE does that for us substantially. We’ve said this in the past that when we think about distinction what are the types of things we are looking for. We are looking for acquisitions that deepen our industry capabilities so we've got great footprint in key industries; we are looking to deepen those footprints with great client relationships in those industries with great capability for those industries. We are looking to acquisitions that will broaden our geographic footprint we as you know we have a footprint right now, we have great – there are great opportunities to expand in other parts of the world by taking our core service offerings to other parts of the world. So we would look to acquisitions that expand our geographic capabilities. We would look at acquisitions that broaden or deepen our core service lines and service offerings so as we think about digital as a service offering, as we think about our Horizon 2 businesses that are going very fast right now. We would look at acquisitions that accelerate those service offerings and so we will continue to apply that screen in a fairly disciplined way to say does an acquisition big or small, does it deepen our industry capabilities, does it strengthen our lines of service or does it and/or does it help us from a geographic standpoint and that's I think the screen that we’ll use when we evaluate any of these acquisitions.
Operator: Our next question comes from the line of Jason Kupferberg with Jefferies. Please proceed with your question.
Jason Kupferberg: Thanks, guys. I know you've used the term conservatism a few times in the conversation so far this morning. So, is it fair to assume that the magnitude of conservatism in this year's initial guidance is similar to what we saw in 2015, which was obviously a year where you were able to raise the guide each quarter? And if you do end up hypothetically at the low end of the guide at 10% revenue growth, would that likely mean that not only the U.S. economy has gone into a recession but that the large deal pipeline in healthcare has failed to convert?
Gordon Coburn: Yes, I think that’s accurate. We are at the bottom end of the range obviously we are conservative on particularly financial services and we certainly wouldn't count on the large healthcare deals. So I think that’s a good way of thinking about it.
Francisco D'Souza: Operator, we have time for one more question.
Operator: Ladies and gentlemen, due to time constraints our final question will come from the line of Rod Bourgeois with DeepDive Equity Research. Please proceed with your question.
Rod Bourgeois: Okay. Great. Hey guys. So real quick, on the demand environment, you explained how the healthcare vertical has good reasons for near-term softness, but you also have a good pipeline that could help growth later in the year. Is it a similar picture right now in financial services? I mean you mentioned near-term weakness in financial services, but I didn't hear as much on the pipeline in financial services. Could this be a year where financial services does better from a quarter-to-quarter growth standpoint in the back half of the year?
Francisco D'Souza: Hey Rod. It’s Frank. I would say it’s a little different in financial services. Clearly as you said, in healthcare we've got some solid big deals in the pipeline, we feel good about. In financial services, the relatively more recent phenomenon of a little bit of uncertainty a larger number of – what I would say smaller projects getting pushed out because of the macroeconomic uncertainty. So I think that depending on volatility and what's going on in the industry, you could see one of two scenarios, you could see continued conservatism in spending for a quarter or two in financial services or you could see that come back relatively quickly because these are projects that as I said a minute ago I think our smaller discretionary projects that could be turned on relatively more quickly. So it just a little bit difficult to say right now. I think the next month or two we will get better visibility and I think on our next call we’ll be able to give you a better sense of what we are seeing in the marketplace. And with that let me just close by thanking everybody for joining us today. We appreciate your questions. We look forward to speaking with you again next quarter. Thank you. End of Q&A
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.